Ivan Vindheim: Good morning, everyone, both in the room and online. That was a little taste of the technological revolution taking place in flow-based salmon farming these days. My name is Ivan Vindheim, and I'm the CEO of Mowi. And together with our CFO, Kristian Ellingsen, I will take you through the numbers this morning. And to the best of my and our ability give a few appropriate comments to them. And after the presentation, our IRO, Kim Dosvig, will routinely host our Q&A session. But those of you who are following the presentation online can submit your questions or comments in advance or as we go along by email. Please refer to our website at mowi.com for the necessary details. Disclaimer, I think we leave for self-study. So with pleasantries, practicalities, and disclaimer out of the way, I think we are ready for the highlights of the quarter. And as the first bullet point reads, Mowi posted €1.44 billion in operating revenues in the third quarter, which translated into an operational profit of €173 million, which is in accordance with our trading update on the 15th of October. And if you are to sum up the quarter in just a few words, I think it's fair to say it will be remembered for its record high operating revenues, driven by all-time high quarterly harvest volumes of 161,000 tonnes, which is in line with our volume guidance and which is another step towards 500,000 tonnes for the year, which would be a milestone achievement for us as it will be the first time in Mowi's 60 years history, we crossed, for us, a magic 500,000 tonnes mark and which is equivalent to a growth of 5.3% year-over-year. For next year, we expect to harvest 520,000 tonnes, which is the next step towards next volume milestone of 600,000 tonnes, which we seek to reach in 2029 and which is equivalent to a growth of 4% year-over-year if we compare 2025 to 2024. So, Mowi's idiosyncratic growth continues and it's still surpassing that to the wider industry by a large margin. Because as we can see from the chart here, as recently as in 2018, we harvested 375,000 tonnes, which means we have grown our farming volumes by as much as 145,000 tonnes over the past few years, or a CAGR of 4.8% versus 2.7% for the industry. And this growth has in practice been organic growth as we lost more capacity than what we have bought in that period. So, big thank you to my 11,600 colleagues in 26 countries for their tireless efforts to make this happen. It's of course much, much appreciated. Otherwise, prices in the third quarter were relatively soft, I would say, due to seasonal high industry supply and our realized blended farming costs, i.e., weighted farming costs for our seven farming countries was impacted by seasonal issues with lice and gills in Norway, compounded this year by record high sea temperatures from Central Norway northwards, in addition to being hit by phytoplankton in British Columbia. So, I think, it's fair to say that our realized blended farming cost of €5.72 per kilo in the third quarter was somewhat higher than what we expected and what we were hoping for, although it's down from €5.84 per kilo in the second quarter and €6.05 per kilo in the first quarter. So, the cost trend is still down, driven by lower feed prices. Feed accounts for, as you know, more than 40% of cost in books. When it comes to two other divisions, both Consumer Products and Feed, enjoyed a strong quarter with record high results. And for Feed's parts also record high volumes, both capitalizing on record high farming volumes in the quarter. And finally, the Board of Directors has decided to distribute the quarterly dividend of NOK1.50 per share after the third quarter. I think that does it for the highlights of the quarter. So, now onto key financial figures. Kristian will as usual go in depth on these numbers later this morning. So, as not to be too repetitive, I think we'll just touch briefly upon the most important ones now and leave the rest for later. Turnover profit, I think, we skip as we have just been through them. So, if you start with cash, net interest-bearing debt came in at €1.77 billion in the third quarter, which is down from €1.88 billion in the second quarter, due to partly release of working capital as a result of lower standing biomass cost. And €1.77 billion is also quite close to our long term debt target of €1.7 billion. Equity ratio was a healthy 48% at the end of the quarter. So, I think we can say we have a strong balance sheet. Furthermore, underlying earnings per share was €0.21, whilst annualized return on capital employed was 13%. And finally, in terms of regional margins through the value chain, Farming Europe, which accounts for four out of every 5 kilos of Atlantic salmon we produce in Mowi, once again stood out as the margin winner due to both cost and price. So, nothing new under the sun in that respect. Then, prices in the quarter. As expected, prices in Europe corrected down in the third quarter from record levels in the first half of the year on seasonal higher industry supply. And prices in Americas continue to be soft in the wake of the cost of living crisis there. But as I said previously, we expect the salmon consumption in Americas to gradually pick up the pace in parallel with western economies continuing to recover on lower interest rates and higher real wages. And more generally speaking, in the short term, we believe that seasonal lower industry supply in the run up to Christmas and into the new year will be a positive price trigger in addition to the Christmas demand itself. So, in other words, we believe in a tighter market balance in the coming months than what we have seen recently, which under normal circumstances should bode well for our price achievement. Speaking of which, our own price achievement in the quarter was 14% above the reference price, which is the standard we like to hold ourselves to internally. Positively impacted by contract share of 21% in the quarter and contract prices above the prevailing spot price, but negatively impacted by lower harvest rates in Norway as a result of already addressed seasonal issues with gills and lice, compounded by record high sea temperatures in parts of Norway. In our six other farming countries however, harvest rates were good in the quarter and superior share was excellent across the board. Then, it's time to have a look at the different business entities, and we start as usual with Mowi Norway, the locomotive of our business model. And if you take the numbers first, operational profit was €146 million for Mowi Norway in the third quarter, whilst margin was €1.38 per kilo and harvest volumes record high 106,000 tonnes. As you can see from the chart, both profit and margin are down year-over-year due to lower spot prices and little assistance from a relatively low contract share for Mowi Norway in the quarter, because harvest volumes are substantially up year-over-year from 86,000 tonnes in the third quarter last year to 106,000 tonnes this year. And cost is relatively stable, although it's somewhat higher than what we expected and what we were hoping for due to already addressed seasonal issues with gills and lice compounded by record high sea temperatures from Central Norway in northwards, which lingered on into October, but November looks better. And in terms of string jellyfish, we have just had a few sporadic cases so far, so nothing of significance, and no signs of winter sores, but it's still early days. And finally, as the last bullet point reads, the FX hit in the wake of the unprecedented weakening of the NOK we saw last year and our long production and accounting cycle cost Mowi Norway €18 million in the third quarter or one point -- or €0.17 per kilo versus our Norwegian peers. So, adjusted for that, our operational profits would have been €164 million in the quarter, not €146 million, and our EBIT margin €1.55 per kilo and not €1.38 per kilo. So, please take that into account when you do your own benchmark comparisons for Norway for the third quarter. Then, the breakdown of the margins for the different regions in Mowi Norway in the quarter. As you can see from this chart, it was a rather mixed bag this time around due to already addressed issues with biology. So, as not to be too repetitive, I think we leave it at that and move on to the last slide on Mowi Norway, our sales contract portfolio. Contract share was 16% for Mowi Norway in the third quarter and was with that spot on our guidance, these contracts contributed, as already said, positively to our earnings. As for the fourth quarter, we expect the contract share to be about 21%, relatively stable contract prices quarter-over-quarter. And finally, as regards to next year, since we are negotiating new contracts as we speak, we cannot say much about that today other than to ask for your understanding that we will revert to it in February at our fourth quarter release. In the meantime, we must keep things close to the chest for commercial reasons. Then, it's time to have a look at our six other farming countries and we start with Mowi Scotland. Mowi Scotland delivered a good quarter biologically, I would say, much better than last year and particularly taking into account season and obviously helped or with help from lower sea temperatures, and this resulted in operational profit of €13 million for our Scottish operation in the quarter, which is up from €9 million in the comparable quarter last year due to lower cost. Because as we can see from this chart, price achievement is slightly down year-over-year and volumes are quite stable at 15,000 tonnes. As for the fourth quarter, I think we can say things have developed well so far, knock on wood. Then, overseas to Chile. Mowi Chile also delivered a set of good biological metrics in the third quarter, I would say, but soft prices in Americas unfortunately weighed once again on an otherwise good quarter for our Chilean operation. So, despite being best on realized cost in Mowi Farming in the quarter, margin came therefore to modest €0.59 per kilo for Chilean salmon. And paired with 23,000 tonnes harvest volumes, this translated into an operational profit of €14 million in the quarter, which is up from €9 million in the third quarter last year. And soft prices were also a recurring theme in Mowi Canada in the quarter and combined with algae issues and elevated mortality in British Columbia, this resulted in a loss of €4 million in the quarter. On a positive note however, biology in Canada East was good and margin was positive €0.64 per kilo. And biology in Canada West in British Columbia recovered in September and has been good so far in the fourth quarter. And finally, in terms of our strategic review of British Columbia, we have nothing new to report this morning other than that we have started a process and that it's well underway and we will revert with more information when we have some. Then, the time has come for our two smallest farming entities, Mowi Ireland and Mowi Faroes. And if you take Mowi Ireland first, operational profit was €4.3 million for our Irish operation in the quarter, which is a good result I would say given the time of year. Margin was €1.18 per kilo and harvest volumes 3,700 tonnes. In Mowi Faroes, we saw relatively soft earnings and margin in the quarter to the Faroes with operational profits of €1.8 million by means of a margin of €0.61 per kilo or 3,100 tonnes harvest volumes. Adversely impacted by harvesting from a high cost site in the quarter, in addition to being 100% exposed to the spot price, because biological metrics were once again strong for our Faroese operation with a monthly mortality rate of 0.2% and a biological feed conversion ratio of 1.02, just to mention a few, it doesn't get much better than that. Then, our Icelandic operation. Operational profit was €1.3 million for Arctic fish in the third quarter, whilst margin was €0.37 per kilo and harvest volumes 3,400 tonnes. And both profit and margin bear the mark of 100% spot price exposure in the quarter in a market with soft spot prices, because biological performance was good in Iceland in the quarter with, for example, a monthly mortality rate almost on par with Mowi Faroes, showcasing some of the potential in Iceland, if we can get the framework conditions right and scale this up. With that, I think we can conclude Mowi Farming and move on to Consumer Products, our downstream business. Operating profit was a record high, €44 million for Consumer Products in the third quarter, capitalizing on record high farming volumes and seasonal low raw material prices in addition to good operational performance more or less across the board and which is up from €40 million in the third quarter last year. So, I think, we can say we still see good demand for our products. Then, last one out this morning, Mowi Feed. Mowi Feed also capitalized on record high farming volumes in the quarter and to date for that matter. And this translated into an all-time high operational EBITDA of €25 million for our Feed operation on all-time high sold volumes of 191,000 tonnes. And this is up from €20 million in operational EBITDA in the third quarter last year and then 169,000 tonnes. And Feed performance was evidently strong in the quarter and year-to-date, demonstrated by all the volume records, which is of course extremely important for us as the world's largest salmon farmer by far. So, I think, we can say things go in the right direction for our Feed operation. So, with that, Kristian, I think we are ready for the financial figures and fundamentals. Thank you so far.
Kristian Ellingsen: Thank you very much, Ivan. Good morning, everyone. Hope you are all doing well. As usual, we start with the overview of profit and loss, which shows an all-time high revenue of €1.44 billion. This is up 6% on the highest volumes ever harvested. Operational EBIT was €173 million, where the movement from Q3 '23 is explained by lower market prices, but still this translates into an annualized return on capital employed of 12.6%, i.e., above the target level. When it comes to the items between operational EBIT and financial EBIT, the difference is mainly explained by the net fair value adjustment of biomass, which was colored by lower salmon prices. With regards to income from associates, there have been industry-wide biological issues in Northern Norway and the operational result for Nova Sea was €1.21 per kilo, which was below Mowi region North in Q3. Our underlying earnings per share was €0.21, while cash flow per share was €0.34, positively influenced by the working capital movement. We then move on to the balance sheet, where total assets are somewhat down from year-end '23, driven by current items. And Mowi's financial position is strong with a 51% covenant equity ratio. The cash flow was strong in the quarter. In addition to the contribution from EBITDA, there was a working capital release in Q3 of €99 million, of which approximately €70 million were related to farming and lower biomass cost at stock, driven by lower feed prices. Then, there was also some release related to accounts receivable and inventory in Mowi Feed. CapEx was €54 million, adjusted for payment of €58 million related to the traffic light auction in June. Net interest-bearing debt was improved during the quarter from €1.88 billion to €1.77 billion at the end of Q3, somewhat above the long-term target of €1.7 billion. The 2024 full year cash flow guidance has been adjusted somewhat, with a net positive effect of the changes from the Q2 guiding of €30 million. Working capital buildup this year is estimated to €100 million, CapEx to €290 million, interest payments €115 million, and taxes €285 million. When it comes to the overview of the financing, this is unchanged from the previous quarter and consequently we leave this for self-study. But speaking of financing, we would take this opportunity to remind everyone of the positive effects of being financed in euro versus Norwegian Kroner. EURIBOR is consistently lower than NIBOR, and this gap is expected to increase based on interest forward curves. We get the full effect of this with our floating rate-based financing. And for 2025, we expect a saving of around €25 million related to lower rates compared with 2024. Historically, there has been a significant advantage to be financed in euro instead of Norwegian Kroner. This removes FX fluctuations. There has also been a saving for Mowi of over €100 million the last 10 years, and the forward curves indicate that this advantage is very much valid also in the coming years as we see here with the 1.6 percentage points lower euro rate versus NOK rate and consequently this supports a lower cost of capital for companies financed in euro, such as Mowi. Another positive cash effect is related to our most important input factor, namely feed. Last year, we saw a decline in prices for vegetable-based commodities, and this year, the marine ingredients have followed suit. The marine ingredients represent about 20% of total food cost and these prices are down about 30% from the peak, following a good first fishery season for anchovy in Peru and also prospects of a good second season, which commenced now in November. The quota for both the first and second season this year have been above the 10-year average, as shown here in the graph, and yield was also good in the first season this year. Consequently, feed prices have continued to trend down and the year-to-date effect is around 6%. We then move on to market fundamentals. Global supply increased by 5%, which was in line with the guiding we gave in Q2. This was a new quarterly record high level for global supply, driven by Norway. This was a result of increased small stocking, good production in the quarter, but also early harvesting from rising industry biological challenges, particularly at the end of the quarter, and standing biomass and September in Norway is down 0.5% from last year for the industry. The value of the consumption remained at the peak level. In Europe, consumption in volume terms increased by 8% with continued positive retail developments and positive market activity effects of promotions. Food service was relatively stable. Consumption in the US was stable as opposed to the strong growth we have seen for many years now. Food service consumption offset some retail growth and the US is behind the recovery curve compared with Europe, but we believe that demand will improve in due course. In Asia, there was good growth in all markets, 5% in total. And the record high seasonal supply took its toll on prices in the quarter, but we expect much tighter market balance in the coming months on lower supply. And when we analyze biomass data, the biomass number of individuals, current trends in the various countries, we estimate industry supply growth for 2025 of modest 2% with a risk on the downside. The split is then shown here between the various countries. And this means that the 2% is consistent also with what we believe then for the coming years when it comes to supply growth. We are in a structural undersupply scenario, where supply is definitely down from the previous decade as we see it. But when it comes to our own volumes, we maintain the guidance of 500,000 tonnes in 2024, and for 2025 we guide on 520,000 tonnes, supported by a record high biomass in sea of 329,000 tonnes lightweight. And this 520,000 tonnes is the next step to our next milestone of 600,000 tonnes expected volume in 2029, as we see here on the graph with reference to the Capital Market Day and information we provided back in September. And this is then a continuation of our good growth trajectory the last years, where we have gone from lagging behind on volume growth to being ahead on volumes. This, in the end, is the most important value earnings driver in the business. And we would also like to take this opportunity to remind everyone of our good track record when it comes to actually delivering on our volume guidance. We have a plus 0.2% positive deviation when it comes to our guidance and what we actually deliver on. This is done over the last five years versus minus 7.9% for our listed peers. So, this provides confidence as we see it. Then, it's over to Ivan for some comments on the outlook.
Ivan Vindheim: Thank you, Kristian, much appreciated. Then, it's time to conclude with some closing remarks, before we wrap it all up with our Q&A session hosted by our IRO, Kim Dosvig. And I said earlier this morning, the third quarter was another record breaking quarter for Mowi in terms of top-line and growth. And by extension, we have maintained our volume guidance of 500,000 tonnes for this year, which would be a milestone achievement for us as it will be the first time in Mowi's 60 years history we crossed the, for us, magic 500,000 tonnes mark, and which is equivalent to a growth of 5.3% year-over-year. And for next year, we expect to harvest 520,000 tonnes, which is the first step towards next volume milestone of 600,000 tonnes, which we seek to reach in 2029, and which is equivalent to a growth of 4% year-over-year if you compare 2025 to 2024. So, Mowi's idiosyncratic growth continues and it's still surpassing that of the wider industry by a large margin, because as recently as in 2018, we harvested only 375,000 tonnes in Mowi, which means we have grown our farming volumes by as much as 145,000 tonnes over the past few years with a CAGR of 4.8% versus 2.7% for the industry. And this growth has in practice been organic growth. Otherwise, as we also said earlier this morning, we expect a tighter market balance in the coming months than what we have seen recently, which under normal circumstances should bode well for our price achievement. And further on that note, in all humility, we believe that Kontali is overshooting again with the industry supply growth estimate of 5% for next year. And as Kristian just showed us, our peers have a history of promising much more volumes than they ultimately deliver. So we, for our parts, believe that industry supply growth next year once again will be at the low end at a modest 2%. And if anything, we believe the risk is on the downside. And finally, as the last bullet point reads, we expect a realized blended farming cost in the fourth quarter on par with or lower than that of the third quarter, depending on biological cost, because the cost trend is down, driven by lower feed prices. And this will sooner or later manifest itself further in the P&L cost. So with that, Kristian and Kim, I think we are ready for the Q&A session. So, if Kristian can please join me on the stage, and Kim can run or administer the meeting.
Q - Christian Nordby: Christian Nordby, Arctic Securities. It's obviously a lot of uncertainty regarding string jellyfish and winter wounds, but what are your expectations regarding downgrades or superior share for the coming winter?
Ivan Vindheim: That's a really good question, and I think the 100% honest answer is that no one knows. Nothing that has happened so far will impact that question. That's my mere assertion. So, we have had a few cases so far as we said during the presentation, but nothing of significance and also limited to region mid, so Central Norway. So -- but let's see, this week those cases have been in retreat, but what next week brings or the week after no one knows. So...
Christian Nordby: And like you say, there's been quite a lot of sea lice treatments in Northern Norway. How do you think that will impact the wound situation and later downgrades in the coming winter?
Ivan Vindheim: Well, it's obviously not positive. But having said that, we also have taken several other measures, so the net effect of this, I still hope, will be much better than last year. But, of course, the more you handle the fish, well, the more biological issues you get. That's the name of the game in our biological production.
Christian Nordby: Thank you.
Martin Kaland: Martin Kaland, ABG Sundal Collier. You mentioned that feed prices have come down some 6% from the year-to-date and that might also be from the peak levels, but what is the potential drop based on the recent feed prices or ingredient prices in your view?
Ivan Vindheim: It's a tough one. We never guide on future costs. We will take the next quarter and in the end of day, it depends on the biological cost, right? So, it doesn't help if your input factors drop when your biological issues increase, but hopefully the third quarter was an exception to the rule. Last year was a good year for us in Mowi Norway and also the year before that, and this year has been a troublesome year if we are completely honest with each other. So -- but normally things fluctuates also in biology. So let's hope, next year is getting much better and that we also can have a 100% of these tailwinds from lower input factors, because I think we have had our share of setbacks in recent months in Norway.
Kim Dosvig: Okay. Then, a question from the web, from [Marius Kirkenaer, SpareBank 1] (ph). If you can comment on the growth outlook in Norway? We guide on 3.3% for growth in Mowi Norway versus industry growth of only 1% to 2%. If you can comment on the reasoning why Mowi is growing more than the industry?
Ivan Vindheim: Well, as Kristian just showed us here, we have grown more than industry for many years and that's our plan to continue with. So, I think, it is as easy as that and as difficult as that. It's not easy to deliver growth in this industry. You need investments, you need a lot of focus, and you need an organization that is very supportive and shipshape. But if you look at our numbers now, we have grown our business now since -- volume wise, since 2017 actually. So -- and our clear goal is to continue with this growth trajectory and -- i.e., then we also will outgrow the rest of the industry and the other listed peers.
Alex Aukner: Hi. Alex Aukner from DNB Markets. So just a question regarding dividends and your net interest-bearing debt targets. Typically, or historically, it's been linked to supply growth, net interest-bearing debts per kilo produced. You now announced new targets, significant growth. The Feed division, the Consumer Products division is now generating healthy profits. What should we expect in terms of the net interest-bearing debt target going forward? Is that up for a revision?
Ivan Vindheim: Yeah, absolutely. Absolutely. If we can continue to grow this business and also continue to grow our cash flow, then we can also handle more debt and also increase our dividend capacity. So, absolutely. Everything is connected to everything else here.
Alex Aukner: Thank you.
Ivan Vindheim: Welcome. That's it?
Kim Dosvig: No more questions from the web.
Ivan Vindheim: Okay. Then, it only remains for me to thank everyone for the attention. I hope to see -- we hope we see you back already in February at the fourth quarter release. Meanwhile, take care and have a great day ahead. Thank you.
Kristian Ellingsen: Thank you.